Operator: Thank you for holding and welcome to the Rockwell Automation quarterly conference call. I need to remind everyone that today's conference call is being recorded. Later in the call, we will open up the lines for questions. At this time, I'd like to turn the call over to Patrick Goris, Vice President of Investor Relations. Mr. Goris, please go ahead.
Patrick Goris - Rockwell Automation, Inc.: Good morning and thank you for joining us for Rockwell Automation's fourth quarter fiscal 2015 earnings release conference call. With me today are Keith Nosbusch, our Chairman and CEO; and Ted Crandall, our CFO. Our agenda includes opening remarks by Keith on the company's performance in the fourth quarter and full year. Keith will also provide context around our outlook for fiscal 2016. Then Ted will provide more details on the results as well as our fiscal 2016 sales and adjusted earnings per share guidance. As always, we'll take questions at the end of Ted's remarks. We expect the call to take about one hour today. Our results were released this morning, and the press release and charts have been posted to our website at www.rockwellautomation.com. Please note that both the press release and charts include reconciliations to non-GAAP measures. A webcast of this call is accessible at that website and will be available for replay for the next 30 days. Before we get started, I need to remind you that our comments will include statements related to the expected future results of our company and are, therefore, forward-looking statements. Our actual results may differ materially from our forecasted projections due to a wide range of risks and uncertainties that are described in our earnings release and detailed in all of our SEC filings. So with that, I'll hand the call over to Keith.
Keith D. Nosbusch - Rockwell Automation, Inc.: Thanks, Patrick, and good morning, everyone. Thank you for joining us on the call today. I'll start with some key points for the quarter, so please turn to page three in the slide there. Both sales and earnings came in below our expectations in the quarter. Organic sales declined a little over 2%. As we progressed through the quarter, conditions softened. And September was especially weak, particularly in the U.S. product businesses. We expected the U.S. to be up low single digits, and organic sales instead declined almost 3%. Remember that we have limited visibility in our product businesses, and September typically is the strongest month of the year. The shortfall in the U.S. was broad-based across verticals but particularly in oil and gas. China was the other weak spot. Sales in China were flat compared to the third quarter, but came in a bit lower than expected. For the company, currency was an even larger headwind than we expected, reducing sales by 8% year over year. Overall, lower operating margin and lower sales led to the decline in adjusted EPS. Ted will elaborate more on Q4 financial performance, including the restructuring charges, in his remarks. Obviously, the fourth quarter was a challenging end to the year, but I believe we executed well during 2015 in difficult market conditions. Here are some full-year highlights. We delivered modest organic growth despite significant headwinds from heavy industry end markets, including oil and gas. Process was down a bit in the quarter and flat for the year. We feel pretty good about those results given what other process players are reporting. Logix was up 4% for the year. That is about one point above Architecture & Software growth. For the quarter, Logix was flat. Segment margin improved 120 basis points due to excellent execution, including particularly strong productivity in the Control Products & Solutions segment. EPS grew 4% in spite of 5% lower sales. And free cash flow conversion was excellent, resulting in record free cash flow of about $1.1 billion. Return on invested capital of almost 33% was also a fiscal year record. We continued to return cash to shareholders, over $950 million during fiscal 2015. This was a 19% increase compared to fiscal 2014. And today we announced a 12% dividend increase, the seventh consecutive double-digit increase since the beginning of 2010. These were good results in a difficult environment. I would like to thank our employees, partners, and suppliers for their continued commitment to serve our customers. Their dedication is key to our success. Let's move on to the market conditions and economic indicators and what we expect to see in our business in fiscal 2016. We are experiencing weak market conditions as we enter the fiscal year. Heavy industry end markets, including oil and gas, have not stabilized, and we see continued softness in key emerging markets. Growth in automotive and consumer verticals globally will be insufficient to offset these headwinds. In the U.S., the strong dollar is also affecting producers and equipment builders, and the broad-based slowing we experienced in September has persisted in October. We therefore expect a particularly weak start to the fiscal year. Current forecasts, however, call for continued global GDP and industrial production growth in 2016. And for the U.S., industrial production is expected to pick up after an anemic first half. That is why we are projecting gradual improvement, including year-over-year growth later in the year. Taking all these factors into consideration, we are expecting fiscal 2016 organic sales to be flat to down 4% year over year. Including the impact of currency, we are initiating fiscal 2016 sales guidance of about $6 billion and adjusted EPS guidance of $5.90 to $6.40. Ted will provide more detail around sales and earnings guidance in his remarks. Before I turn it over, I would like to remind you that we will be holding our main customer event, Automation Fair, next week in Chicago. As in prior years, we expect to welcome thousands of customers and partners from all over the world. We will showcase our latest technology and that of our partners. Attendees will take part in forums, technical sessions, and hands-on labs and network with peers to learn how to bring their connected enterprise to life, optimizing their business performance, and driving their competitive advantage. I am particularly excited about this year's event. We are on track to have record attendance. And in fiscal 2015 and 2016, we will have launched an unprecedented number of new products, including our next-generation high-performance integrated control and information architecture. With this new offering, we will help our customers realize a step function change in productivity and global competitiveness. In short, we are enabling our customers to achieve their connected enterprise. Our innovation engine is really humming. In closing, the prospects for Rockwell Automation continue to be very attractive. Even in the challenging market conditions we currently have, producers and equipment builders still need to have our technology and expertise as we help them achieve their business objectives. The long-term secular drivers for industrial automation and information remain intact. And we will continue to enhance our competitive differentiation in order to expand the value we provide our customers and gain market share. With that, here's Ted.
Theodore D. Crandall - Rockwell Automation, Inc.: Thanks, Keith. Good morning, everyone. I'm going to start on page four, the fourth quarter key financial information. Sales in the quarter were $1.608 billion. That's down 9.8% compared to Q4 last year. This was the first quarter of fiscal year 2015 with an organic sales decline and coupled with the largest negative impact from currency of any quarter this year. On an organic basis, sales declined 2.3%. We were expecting organic sales growth of about 1%. As Keith mentioned, that shortfall was driven primarily by lower sales in our product businesses and especially in the U.S. market. Currency translation reduced sales in the quarter by 7.6%. That was a full point more than we expected at the beginning of the quarter. Segment operating margin was 20.9%, down 1.3 points from Q4 last year. The lower margin year over year is primarily due to lower organic sales, unfavorable currency conversion, and $12 million of restructuring charges that we took in the quarter. We took the restructuring charges to get our cost structure more aligned to the outlook for fiscal year 2016 and to create some headroom to reallocate spending to our most important priorities in what we expect to be a difficult market environment. General corporate net expense was $20 million in Q4 compared to $22 million a year ago. Adjusted earnings per share was $1.57. We missed the midpoint of our guidance by $0.23. Unfavorable currency effects and higher restructuring charges accounted for half of that miss. Of course, lower organic sales also contributed to the miss. Adjusted EPS was down from $1.86 last year, primarily due to lower sales and margin, partly offset by lower share count. Average diluted shares outstanding in the quarter were 134.3 million, down 3% from Q4 last year. The adjusted effective tax rate in the quarter was 28.2%. That compares to 27% in the fourth quarter last year. Free cash flow for Q4 was very strong at $309 million. During the fourth quarter, we repurchased 1.8 million shares at a cost of $196 million. For the full year, we repurchased a total of 5.4 million shares at a cost of $606 million. That's almost 30% more than the $470 million in repurchases that we projected at the beginning of the year, and related to our strong cash flow performance. The rolling four-quarter return on invested capital was 32.6%. Turning to page five, this is the full-year version of the key financial information. Sales were $6.308 billion for the full year, down 4.8%. Organic growth was 1.1%. Currency translation reduced sales by 6%. Segment operating margin for the full year was 21.6%. That's up 120 basis points from last year. The primary causative factors were the contribution from organic growth and strong productivity, which were partly offset by higher spending and unfavorable currency effects. Adjusted EPS was $6.40. That's up 3.7% compared to last year despite the decline in reported sales. Free cash flow for the full year was $1.077 billion, which was 124% of adjusted income. The strong conversion was driven by very good working capital management through the year. The next two slides present a graphical view of the sales and operating margin performance of each segment. I'll start with the Architecture & Software segment on page six. On the left side of the chart, you'll see that Architecture & Software segment sales were $684 million in Q4. That's down 8.5% from the same quarter last year. The organic sales decline was 0.4%, and currency translation reduced sales by 8.1%. Moving to the right side of the chart, in the fourth quarter, on the 8.5% decline in reported sales, Architecture & Software margins dropped by 3.8 points to 27.3%. A little less than half of the drop in operating margin is due to a higher than normal unfavorable currency conversion in the quarter. The balance is due to increased spending and the segment's share of the restructuring charges that I mentioned previously. As we expected, spending was up significantly in the quarter in this segment both sequentially and year over year, and largely related to the timing of R&D project costs. The Q4 spending level in A&S is not indicative of an ongoing run rate. For the full year, A&S sales were down 3.4% as reported, with 3.1% organic growth. Segment operating margin for the full year was 29.4%, essentially flat compared to fiscal year 2014, with about one point headwind due to unfavorable currency effects. On page seven, a similar view for the Control Products & Solutions segment; in the fourth quarter, Control Products & Solutions segment sales declined by 10.7% year over year, with an organic sales decline of 3.6%. Currency translation reduced sales in this segment by 7.2%. The organic sales decline for product businesses in the segment was about 3%, and for solutions and services about 4%. The book-to-bill in Q4 for solutions and services was 0.83. That's about the same book-to-bill as Q4 last year. CP&S has delivered very good operating margin performance this year, and that continued in the fourth quarter. Operating margin was 16.2%, up 40 basis points compared to last year. For the full year, CP&S sales were $3.558 billion, down 5.8% year over year and down 0.4% on an organic basis. On an organic basis, product sales in the segment were up about 3% for the full year, and solutions and services sales declined by about 2%. CP&S segment operating margin for the full year was 15.5%, an increase of 190 basis points compared to 2014. This was a great result despite an almost 6% drop in reported sales and largely attributable to very strong productivity performance in the year. Page eight provides a geographic breakdown of our sales and shows organic growth results for the quarter and the full year. My comments will all refer to organic growth rates. As Keith mentioned, the U.S. was the biggest negative surprise in the quarter. Sales in the U.S. declined almost 3% compared to Q4 last year. Product sales declined about 4% year over year. Sales in the U.S. were flat sequentially. We expected sequential growth of 7%, which would have been more in line with historical norms. Sales to customers in oil and gas in the U.S. were down year over year almost 30% in the fourth quarter and sequentially about 15%. We expected a sequential decline, but not quite this large. In the balance of the world, oil and gas sales were pretty much as we expected in the quarter. There appears to be a general slowdown in U.S. industrial customer spending, both capital and operating spending. And what we experienced in the U.S. market in Q4 seems to be consistent with what we have seen reported by other automation-related and electrical suppliers, including some of the major distribution companies. Demand slowed through the quarter, as Keith mentioned, and September was especially weak, down about 10% compared to September last year. Demand levels in October and early November were down about the same amount. And consequently, we expect a very weak first quarter for sales in the U.S. For the full year, U.S. sales were up about 1%, with automotive as the best performing vertical. Canada sales in Q4 were down just under 10%, but pretty much in line with our expectations for the quarter. For the full year, Canada was down 5%. Resource-based industries continue to be a drag on our Canadian business. EMEA was up almost 4% organically in the quarter and up a little over 2% for the full year, with consumer-related industries as the best performing. The emerging countries of EMEA generated the higher growth rates in 2015, but mature Europe was up 1% for the full year. At the beginning of last year, we didn't expect that EMEA would exceed the U.S. growth result. In Asia-Pacific, sales were down 10% year over year in Q4. India experienced modest growth in the quarter, but China was down high teens percent year over year. China was flat sequentially, but we expected to see some growth. For the full year, Asia-Pacific was down about 1%, with China down mid-single digit and low double-digit growth in India. Latin America had another solid quarter at 5% growth, with strong growth in Mexico more than offsetting a decline in the balance of the region. For the full year, Latin America was up 9%, with Mexico growing in the high teens and Brazil about flat year over year. Organic growth in emerging markets for the full year was 4%, led by Latin America and despite the decline in China, which is our largest emerging country. And that takes us to the fiscal 2016 guidance slide. Based on demand levels as we exited September and that have continued through October and early November as well as our current backlogs in solutions and services businesses, we expect a very weak start to the year. We expect organic sales in Q1 to be down mid-single digit year over year, driven by the U.S. being down high single digit. With that starting point, even with projected IP [Industrial Production] growth next year, we don't expect sufficient sequential growth in the balance of 2016 to get us to a positive organic growth result for the year. At current exchange rates, we expect a headwind from currency in Q1 similar to Q4. So on a reported basis, Q1 sales could be down over 10% year over year. For the full year, we expect currency to reduce sales by 300 basis points. Our projection for translation impact assumes recent exchange rates. For example, we're assuming an average euro rate of $1.09. We expect fiscal 2016 sales to be approximately $6 billion. Organically, we expect sales to be down next year about 2% at the midpoint, with a range of minus 4% to flat for fiscal year 2015. By region, on an organic basis, we expect U.S. and Asia-Pacific to decline a couple points more than the company average, and we expect to see growth in EMEA and Latin America. We think results will be relatively balanced across our products and solutions and services businesses, with product businesses declining at a little greater rate than solutions and services businesses in 2016. We expect segment operating margin to be a little above 21%. That would be less than a 0.5 point decrease compared to 2015, with conversion margin of about 30% on the sales decline. We expect the full-year tax rate to be about 27%, equal to fiscal year 2015. Our guidance for adjusted EPS is $5.90 to $6.40. At the midpoint of guidance, that represents a 4% reduction in adjusted EPS on 5% lower sales. Q1 will be our most difficult year-over-year earnings comparison. We expect free cash flow conversion on adjusted income of about 100%. A couple of other items not shown here, general corporate net expense should be approximately $80 million in 2016. We expect average diluted shares outstanding to be about 132 million for the full year. We intend to continue to return excess free cash flow to investors. Keith already talked about today's dividend increase. The amount we spend on share repurchases in 2016 will depend on free cash flow and acquisition spending. But at this point, we expect to spend about $500 million on repurchases for the full fiscal year. The next page includes an EPS walk from fiscal year 2015 to fiscal year 2016. As you can see, currency is expected to be a significant headwind in 2016. As the benefit of currency hedges becomes smaller, currency conversion is more unfavorable year over year. Core performance is down about $0.10. That represents about 15% earnings conversion on lower organic sales, which we think is a pretty good result. Modestly higher spending and a somewhat unfavorable mix is offset by strong productivity and a tailwind from lower incentive compensation. As I mentioned on the previous slide, no significant impact from tax year over year. And finally, continued share repurchases are expected to provide a $0.20 or roughly 3% tailwind to EPS. And with that, I'll turn it back over to Patrick to begin the Q&A session.
Patrick Goris - Rockwell Automation, Inc.: Before we start the Q&A, I just want to say that we have quite a few callers in the queue today, and we would like to get to as many of you as possible. So please limit yourself to one question and a quick follow-up. We appreciate your cooperation. Operator, let's take our first question.
Operator: Your first question comes from the line of Shannon O'Callaghan, UBS. Please proceed.
Shannon O'Callaghan - UBS Securities LLC: Good morning, guys.
Keith D. Nosbusch - Rockwell Automation, Inc.: Good morning, Shannon.
Shannon O'Callaghan - UBS Securities LLC: Hey, Keith, how do you reconcile or make sense of the record attendance at Automation Fair? It certainly seems like there's a lot of interest when you talk about all the innovative new products coming out, but yet contrasting that with the extremely weak trends here and seemingly a lack of willingness to invest. There's a lot of interest in the Automation Fair, but we're not seeing the spending. Explain a little bit what you're seeing in that contrast, and then just your confidence coming out of this.
Keith D. Nosbusch - Rockwell Automation, Inc.: Two things, the first would be Automation Fair, we believe with the theme of it being the connected enterprise and then, to your point, the dramatic increase in new products that are going to be introduced during the fair that we have a lot of excited customers about the opportunities to learn what is coming and how it can help them be more competitive. And there's no better time for our customers to focus on new technology than when their business is slowing and they have an opportunity to look at the new technology and integrate it into their strategies or their new machine lines as they come up. So we think this is a great opportunity. The fact that it's in Chicago, it's always a well-attended fair. We think this year it will be even greater than the last time we were in Chicago, and that's because the Midwest is still the heart of manufacturing in the U.S. So we're excited to be there. We're excited with the messages that we will be providing our customers and, quite frankly, the confidence in the future. I think we have never been better positioned than we are today, and it's only going to get stronger. As I mentioned, this release of the new architecture, the next generation of that architecture and the ability to provide a broader portfolio of Rockwell Automation products and services and solutions is going to be unmatched in the both the industry and in the global environment. So we're going to have customers there from around the world, Europe, Latin America, Asia-Pacific. That will also be a very strong showing. So you can see the interest that our customers have in basically continuing to drive their productivity and improve their competitiveness, and I think that's the message that has been out. We did a lot of pre-work to make sure that our customers knew all of the new products as well as something this year that we're going to have, the innovation demonstrations, where we talk about how the technology is going to evolve in the future and give them a snapshot of how that future is going to look three to five years down the road. So from a combination of new products, the innovations that are coming, and how technology is evolving to enable the connected enterprise, we think that's what's behind the attendance. And quite frankly, we're happy many of you will be there.
Theodore D. Crandall - Rockwell Automation, Inc.: Shannon, your question about high attendance and low spending right now and that disconnect, what we're hoping it is indicative of is customers' expectations that despite low spending right now that they will be spending more sometime next year or sometime this year.
Shannon O'Callaghan - UBS Securities LLC: Okay, great. And then in terms of cash flow, a particularly strong year. I know you guys have been just working on productivity and working capital. Anything one-time in nature this year that you would call out, or is this just good cash execution?
Theodore D. Crandall - Rockwell Automation, Inc.: I think we really did have good working capital management this year. But in the interest of full disclosure, we also have some favorable timing items that we benefited from in 2015. I think we had some favorable cutoffs at the end of the year on receivables, and we also had some benefits in the timing of things like tax payments this year. So this was an exceptional year for cash flow generation. Some of that is going to reverse next year, I expect. But we're still expecting another good year in 2016.
Shannon O'Callaghan - UBS Securities LLC: Okay, great. Thanks, guys.
Keith D. Nosbusch - Rockwell Automation, Inc.: Thanks, Shannon.
Operator: Thank you. Your next question comes from the line of John Inch, Deutsche Bank. Please proceed.
John G. Inch - Deutsche Bank Securities, Inc.: Thank you. Good morning, everyone.
Keith D. Nosbusch - Rockwell Automation, Inc.: Morning, John.
John G. Inch - Deutsche Bank Securities, Inc.: Good morning. Can we start with restructuring? You called it out, which you normally don't do. Could you parse it between CP&S and A&S? And then could you give us the total restructuring spend that would compare to the $12 million this quarter for fiscal 2015 and what would be embedded in your guidance for fiscal 2016?
Theodore D. Crandall - Rockwell Automation, Inc.: There's a lot there, so let me see if I can get all of that.
John G. Inch - Deutsche Bank Securities, Inc.: That's my long one question, first question, yes.
Theodore D. Crandall - Rockwell Automation, Inc.: So $12 million in Q4 and about $20 million for the full year. We called it out because this was an unusually large amount for one quarter. We're expecting to generate about $25 million of savings in 2016 on that $12 million of restructuring spent in Q4, and that's reflected in our productivity expectations for next year. For next year in terms of restructuring charges, what we'll build into the plan is an amount that is similar to this year – or to 2015, I should say.
John G. Inch - Deutsche Bank Securities, Inc.: So about $20 million year over year, the same percent?
Theodore D. Crandall - Rockwell Automation, Inc.: Yes, and I'm sorry. In A&S and CP&S, it was roughly equal. The restructuring charges in Q4 were roughly equal between the two segments.
John G. Inch - Deutsche Bank Securities, Inc.: Given how quickly things have deteriorated, right, and you guys called out tough U.S. products business in September that spilled into October, we've got tough first quarter coming. I guess without being too specific, it sounds almost though that you're anticipating some sequential pickup, but not enough to get your EPS up year over year. But why would that be the case, meaning if this is the first period of serious U.S. decline, why do you think that next year for whatever reason that things are actually picking up because it really does look like that certainly on the heavier industry side, the global economy is getting worse, not better? So I just want to make sure I'm -- we all know how old Rockwell was very, very cyclical. Now you're more of a CPG company, but we're still trying to understand what's the expectation set for a company that obviously doesn't have a lot of visibility you're not baking in some false hope to the guide framework?
Theodore D. Crandall - Rockwell Automation, Inc.: Right. First I would say, I was going – you just mentioned it -- I was going to start the answer by saying you know, we don't have great visibility. And I think your question is a legitimate question because there are concerns right now. There has been overall continued very slow global growth. We've got the slowdown in the U.S. in Q4 in industrial business. And if you look in the emerging markets, Brazil and China are still – we're not really seeing anything that is a near-term catalyst for improvement there. But as Keith mentioned, the forecasts for GDP and IP for 2016 are still indicating growth. Generally, our sales tend to track well with IP growth. In the media and what we're hearing from business people and customers, people are not talking about the recent conditions in the U.S. as a general recession, although there has been some noise about maybe an industrial recession. In the U.S., the consumer side of the economy still seems to be in pretty good shape, including the most recent jobs report that was very positive. And we've generally thought that this should be a longer up cycle given the sluggish global growth. So it was all of those things that we took into account in looking at the outlook for 2016. And based on that, we're thinking this is more of a pause that will be followed by some sequential growth, not the beginning of a deeper downturn.
John G. Inch - Deutsche Bank Securities, Inc.: That's fair. But on the other hand, we're going to get through the December quarter and roll into a new year. I guess what I'm trying to understand is, are you assuming things hold, Ted, at these levels and then pick up maybe beyond the March quarter, or do you assume that things are going to actually start to begin to sequentially improve post the December quarter, I guess, is the question.
Theodore D. Crandall - Rockwell Automation, Inc.: No, I would say generally we're not expecting to see sequential growth until the second half of the year.
John G. Inch - Deutsche Bank Securities, Inc.: Okay, so first half tougher and sequential growth second half. Got it. Okay, thank you.
Keith D. Nosbusch - Rockwell Automation, Inc.: You're welcome. Thank you, John.
Operator: Thank you. And your next question comes from the line of Steve Tusa, JPMorgan. Please proceed.
Charles Stephen Tusa - JPMorgan Securities LLC: Hey, guys. Good morning.
Keith D. Nosbusch - Rockwell Automation, Inc.: Good morning, Steve.
Charles Stephen Tusa - JPMorgan Securities LLC: Can you just tell us? I guess the software business outside of embedded and the stuff that goes along with the products, but just your more – like the MES [Manufacturing Execution Systems] type of stuff, what that did in the quarter, and then ultimately what that did for the year as well?
Keith D. Nosbusch - Rockwell Automation, Inc.: Yes, absolutely. We had a very good quarter in our IS Solutions business, which is Information Software, in the quarter. We had a high for the year of sales. It was up above the average for the company. We also had very strong margin and OE performance in the business as well. We continue to expand the pilot programs with rollouts at multiple customers now. We currently have over 100 customers running FactoryTalk Production Center, and we have the suites installed in over 200 plants. And so this continues to be an area that now we are looking at growing it more aggressively. It's at the forefront of the connected enterprise and what we can do for customers in the IT/OT convergence that is currently going on. And quite frankly, after a number of years, this is the best that that business has been positioned with the suites that they have as well as the ability to deliver both revenue growth and profit growth at the same time. So that team has done a very good job there. And we think as we continue to build upon the connected enterprise story and vision that our software business will play a more important role going forward.
Charles Stephen Tusa - JPMorgan Securities LLC: Sorry, so it did grow, just to be clear. And then just lastly as a follow-up, because your sales were down, so I would assume that it grew above when you say above the company average. And then lastly, just in Mexico, what's growing so strongly there? Is that still oil and gas that's holding up, or is that auto? And then maybe at a higher level, what are your comments on global auto? And that's it.
Keith D. Nosbusch - Rockwell Automation, Inc.: Okay. Yes, it did grow and it has grown for the year, our software business. Mexico is a very broad-based story from the standpoint of what's growing. Obviously, the strongest growth there has been oil and gas, and it has been for us. And we continue to win more midstream projects in oil and gas. The areas, automotive continues to grow, and we expect that to continue into next year. The ability of – the powertrain capabilities that we have will open new opportunities for us there. We also have great channel capabilities in Mexico, and we're starting to see the power of our distribution model as it continues to mature. And in your emerging markets, Mexico is probably the most mature distribution capability that we have. And so it's brought across verticals. Consumer was very good. OEMs grew tremendously this past year, mainly because of the mid-range capabilities that we have. And so we see the oil and gas, consumer industries, automotive, and the channel work that is going on in OEMs being the areas that is driving growth for us, and we do expect that to continue as we go into 2016, not at as high a level as it grew in 2015, but still the best emerging market performance of the larger countries for us next year.
Charles Stephen Tusa - JPMorgan Securities LLC: Great. Thanks for the color, Keith. I appreciate it.
Keith D. Nosbusch - Rockwell Automation, Inc.: No problem, Steve. Thank you.
Operator: Thank you. And your next question comes from the line of Jeff Sprague, Vertical Research. Please proceed.
Jeffrey T. Sprague - Vertical Research Partners LLC: Thank you. Good morning, everyone.
Keith D. Nosbusch - Rockwell Automation, Inc.: Good morning, Jeff.
Jeffrey T. Sprague - Vertical Research Partners LLC: Good morning, just a couple other subtopics here. Keith or Ted, could you elaborate a little bit more on just how this abrupt deceleration unfolded? And by that, I mean does it look like it's inventory liquidation? You mentioned MRO. Was there a more abrupt pullback in MRO? Is there is any common theme to what you saw happen? I'm asking the question in the context of trying to understand how we do consider stabilization at some point.
Theodore D. Crandall - Rockwell Automation, Inc.: So, Jeff, my comments are going to – this is Ted. My comments will reference the U.S. July was a little bit below where we thought it would be. Things picked up a little bit in August and then deteriorated significantly in September, and September got worse as the month progressed. You know as it relates to inventory that generally our end users and OEMs don't keep a lot of inventory of our stuff, and we have very good visibility in North America of the channel inventories. There has been no significant change in channel inventory, so we don't think this is about destocking. I think what we believe is what we have seen here, it has been – in the U.S. this year it's been generally a lower number of larger projects. But what we saw in the fourth quarter and particularly September looks like a turn down in both MRO and small project spending. And that's why in my comments I suggest that we think this is both capital spending and operating spending.
Keith D. Nosbusch - Rockwell Automation, Inc.: And that's why I think the product business is more because that is what drives obviously the MRO. But also small projects tend to be much more product-centric.
Jeffrey T. Sprague - Vertical Research Partners LLC: And what's going on with price? Have you seen degradation in price and anything from your foreign domiciled competitors that are disruptive on price?
Theodore D. Crandall - Rockwell Automation, Inc.: So in terms of our price realization in Q4 and the full year, it was right at about one point, maybe even a little bit better than that. I'd say this year has been a little bit better than average, so pretty much as we expected. I think it would be fair to say we haven't seen any significant change in competitor pricing dynamics. But the U.S. dollar being as strong as it is, is not helpful and thus put increased pricing pressure on us.
Jeffrey T. Sprague - Vertical Research Partners LLC: And are you seeing a reciprocal positive effect on the European OEM machine builders? Obviously, your share and exposure in the U.S. would be higher, so I wouldn't expect a like-for-like offset. But can you tangibly see and feel U.S. OEM machine builders losing share globally and it being picked up in Europe and other places?
Keith D. Nosbusch - Rockwell Automation, Inc.: I think that is the way the global OEM market operates. It does move – not with every quick change in currency, but this has been relatively long now. And you are seeing the competitiveness of Europeans increasing. I think we see their attention being turned more to the U.S. because of that. And also, we're seeing because Asia is weaker, China is weaker, there is less European exports to China and to Russia. So I think they're looking at the U.S. as the opportunity to make up for that other decline. And to Ted's point, the currency is giving them a competitive advantage in that regard.
Jeffrey T. Sprague - Vertical Research Partners LLC: Thank you for the color.
Keith D. Nosbusch - Rockwell Automation, Inc.: You're welcome, Jeff. Thank you.
Operator: Thank you. Your next question comes from the line of Nigel Coe, Morgan Stanley. Please proceed.
Nigel Coe - Morgan Stanley & Co. LLC: Good morning, Keith and Ted.
Keith D. Nosbusch - Rockwell Automation, Inc.: Good morning, Nigel.
Nigel Coe - Morgan Stanley & Co. LLC: Good morning. Ted, I guess I just want to run through the bridge. The top line feels reasonable. I mean who knows, but it looks reasonable. But the decrementals on core sales feel a bit light. And I understand there's some restructuring payback, but 15% given what you've done in the past and given the expectation of products is going to be worse than the average, how do you control decrementals in this kind of environment?
Theodore D. Crandall - Rockwell Automation, Inc.: I think it's a couple of things. There is some spending increase, but it's pretty modest year over year. And then probably the most important thing is we're expecting another strong year for productivity, similar to what we generated in 2015, and that should be helped by the restructuring charges that we took. And then equally important is there's going to be some tailwind from incentive compensation with lower sales and lower EPS year over year.
Nigel Coe - Morgan Stanley & Co. LLC: Okay, okay. And then, Keith, you mentioned your short cycle, it's tough to get a handle on your 2016 trends, but you've seen a lot of down cycles. And I think we tend to agree with you this is more of pause than something more sinister. But drawing on your experience from prior downturns, what gives you confidence, be it from what you've seen in the channel or be it from customer conversations, what gives you the confidence that this isn't a bit more of a severe downturn?
Keith D. Nosbusch - Rockwell Automation, Inc.: I think it goes back to some of the comments that Ted made why we're going to see a very difficult first half to the year. We're still looking at the key indicators for us, which is industrial production. And that's still forecast to grow in 2016 and to grow at a faster rate later in the year. So that historically has been a very good indicator of our performance. And I also think some of our new products, we do expect next year to be able to take market share. So that is always a piece of our equation. I think that's how we look at our ability to demonstrate differentiation. And certainly, with our new technology and our new products, we expect as the year unfolds to be able to take share, even in a difficult market environment.
Nigel Coe - Morgan Stanley & Co. LLC: Okay. Thanks a lot, guys.
Keith D. Nosbusch - Rockwell Automation, Inc.: Thank you, Nigel.
Operator: Thank you. And your next question comes from the line of Rich Kwas, Wells Fargo. Please proceed.
Richard Kwas - Wells Fargo Securities LLC: Hi. Good morning, everyone.
Theodore D. Crandall - Rockwell Automation, Inc.: Hi, Rich.
Keith D. Nosbusch - Rockwell Automation, Inc.: Good morning.
Richard Kwas - Wells Fargo Securities LLC: Keith, on your last comment there around market share, where do you – I assume that's a global comment in terms of taking share. Is it the usual suspects in terms of taking share in process, or are there other areas that you expect to drive share gain?
Keith D. Nosbusch - Rockwell Automation, Inc.: Yes, that is the main one. But I would say in addition to that, we think we can continue to grow our share in safety. We think we can continue to grow our share in our power control businesses, both in what I would call our drives business and our intelligent motor control center business with some of the some new capabilities that they are building out. And then as we've talked previously, we are starting to quote and be involved in more activity in powertrain. And we see that as an opportunity that's going to expand for us this next year, and we expect to be able to create some more wins there. And that's an area, as all of you know, we historically did not participate greatly in. So that would be the other one that I would add to the pile in addition to process.
Richard Kwas - Wells Fargo Securities LLC: Okay. And then just as a follow-up, can you give us some framework for how you're thinking about the various verticals that you're tied to, oil and gas, auto, consumer, food and bev, et cetera, in terms of what's embedded in the outlook? And then second, what's your assumption for the China auto business in 2016? What's embedded in the outlook?
Keith D. Nosbusch - Rockwell Automation, Inc.: Okay, let me start with the last one. We think China in automotive will probably be down on a year-over-year basis. That has been a growing piece for us previously, but we have seen some slowdown in the automotive market there with the decline in sales of autos, the front end of autos. With respect to the outlook in the different industries for us, auto, we expect that to grow above the company average and, as I mentioned, increased opportunities in powertrain. Tire is expected to grow above the company average. We've been talking recently about the weakness in the China OEMs. That is going to continue to be true, but there have been eight greenfield plant announcements in the U.S. and Mexico, primarily with Asian manufacturers. And we're very well situated in those expansions. So we see that as a growth. Food and beverage, we think that will be flat next year. With North America, the focus is on modernization and productivity. And in Europe, Latin America, and Asia-Pacific, we expect to get the traditional different variety and packaging changes that will drive growth there for us. In home and personal care, we expect that to grow about the company average. And there, new product introductions and innovation is driving a lot of that. Life Sciences we expect to be above-average growth for us, and that will be driven by the new requirements, including serialization. If we look at some of the heavy industries, there we expect that oil and gas will be weaker in the U.S. for sure and especially in the first half of the year, but we do expect Latin America to be a little bit. Overall, oil and gas will be down about 10% next year. And then some of the small – excuse me. First, mining will continue to be weak across all regions, with the commodity prices continuing to be down. And also you're seeing a lot of restructuring in the larger global customers, and that tends to slow CapEx spending while that's going on. In some of the smaller verticals, pulp and paper, we think it will be in line with the company average. There is spending going on in the U.S. and Canada for modernization. Metals continuing to be weak and soft, and just a couple of large projects that we'll be participating in in EMEA and Asia-Pacific but overall weak. Chemicals, about the company average, and obviously everyone knows what's going on there with the lower feedstock prices driving additional expansion and modernization in that industry, particularly along the Gulf Coast. So that's a quick overview of all the key verticals and how we're thinking about them next year.
Richard Kwas - Wells Fargo Securities LLC: I appreciate it. Thanks, Keith, for that.
Keith D. Nosbusch - Rockwell Automation, Inc.: You're welcome. Thank you.
Operator: Your next question comes from the line of Jeremie Capron, CLSA. Please proceed.
Jeremie Capron - CLSA Americas LLC: Thanks, good morning.
Richard Kwas - Wells Fargo Securities LLC: Good morning.
Jeremie Capron - CLSA Americas LLC: Following up on the oil and gas markets, it sounds like came in below your expectations in the quarter. Can you talk about what you're seeing there and maybe dig a little deeper into your comment about that market being down another 10% next year? How do you see that unfolding, and where do you see a bottom there?
Keith D. Nosbusch - Rockwell Automation, Inc.: Well, I think at this point, we haven't seen the stabilization or the bottom. We were a little surprised with the drop in the U.S. this last quarter. The rest of the world operated pretty much as we expected, but the U.S. was stronger decline, which is why we're believing we haven't gotten to stabilization yet. We'll learn a lot more in the first calendar quarter as all of the key companies release their capital spending. But as you've seen with some of the recent releases, they're expecting that to continue to be reduced in the next year, in some cases as high as 20% to 30% reduction. So we're not expecting capital spending to be strong. We do believe that they will continue to spend on driving down their operating costs. We believe we have some new technology that we'll also be talking about at Automation Fair that enables us to create a much more productive oilfield as well as the ability to create more of helping them maintain their assets, their rotating equipment, which is very important in that industry with some capabilities in remote monitoring and in asset management capabilities of that equipment. So we think in some of the smaller countries, they will continue to create opportunities for us to help them become more productive so they can compete better against some of the majors. So the Latin America countries, in particular, Southeast Asia, we'll see some benefits there. But overall, it's going to be another declining year of capital spending in that industry in 2016. So that's why we're cautious about how we're approaching this because we don't believe we've seen the bottom.
Theodore D. Crandall - Rockwell Automation, Inc.: Jeremie, I think the other thing coloring our view of oil and gas in 2016 is particularly in our solutions businesses, we're going end of the year with a weaker backlog, and our front-logs would indicate that we're going to see continued declines.
Jeremie Capron - CLSA Americas LLC: Okay; that's helpful. Then maybe quickly on EMEA, obviously pretty robust performance there. I wonder how much of that is due to your machine OEM clients, where I think you've made good progress over the recent years. And just a quick one for you, Ted, on pension, you haven't made any comments on that. Just a view on expenses around this and funding. Thanks.
Keith D. Nosbusch - Rockwell Automation, Inc.: Yes. Certainly, Europe, the best part of our success story there is the continued expansion into the OEM space. We continue to expand the number of customers that we have, and we continue to expand the breadth of our portfolio to where it's more than just a motion on the machines. We're growing our safety business there and we're growing our network sensor business there in addition to our standard drives. So we do see the OEM business in Europe as one of the areas that has been responsible for our continued growth, even in a very difficult environment.
Theodore D. Crandall - Rockwell Automation, Inc.: Jeremie, this is Ted. I didn't mention pension because it's a pretty modest change 2015 to 2016. On an operating cost basis, it's less than $5 million, and the full-in GAAP pension expense increase year over year is about $15 million.
Patrick Goris - Rockwell Automation, Inc.: Operator, we will take one more question.
Operator: Thank you. And your last question comes from the line of Steven Winoker, Bernstein. Please proceed.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Thanks very much, guys, for fitting me in. Just first on the cost side, in terms of the $20 million of restructuring for next year and given the lack of visibility to increased technology spending and the productivity that's no doubt freeing up capacity, why stop there? Is that just a placeholder? Do you have the project pipeline? How quickly might you increase that if conditions I guess worsen, or how are you thinking about the relative size? We're just seeing maybe larger programs at many of the other companies.
Theodore D. Crandall - Rockwell Automation, Inc.: Steve, I think we believe that the restructuring charges that we took at the end, across 2015, and particularly in the fourth quarter should be reasonably sufficient to get our cost structure adjusted to what the current outlook is. There in any year we've always got some normal level of restructuring charges, which I would say typically is about $10 million a year. We left an extra $10 million in 2016 because of the uncertainty around the outlook right now. And so if things play out the way our current guidance indicates, we think our cost structure is in pretty good shape. If things get a little bit worse, we will probably be looking at taking more restructuring actions.
Keith D. Nosbusch - Rockwell Automation, Inc.: But as we have often said, the areas that we're very careful and cautious about is, as an intellectual capital business, we have to continue to invest in new technology. I mentioned a lot of new products coming out. We want to finish those. And we also need to make sure that our customer-facing resources stay as strong as possible because that's how we're going to get the interest level at our customers with our capabilities. So it does require expense spending to do that. It's all about people. And those are the areas that we want to maintain as high of a capacity as possible for the reasons that we do see this as short term in nature. And we are building our capabilities and our product and service portfolio for the long term for our customers.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay, fair comment. And then just on process growth, obviously very, very difficult end markets, but still second year of I guess 4% or below growth in the area, better than apparently with the peers with some of the competitor moves. But maybe just comment on the rate of deceleration in process. And as you look forward, given all the new product introductions and all the effort, are some of the competitors closing the gap as you see them or getting more aggressive in that area, or do you attribute the process growth – or slower growth all of it to the markets?
Keith D. Nosbusch - Rockwell Automation, Inc.: The simple answer is we are putting it all on the market at this point in time. We believe, to your earlier part of the question, know that some of the new capabilities that we're going to come out in the batch hybrid space will create additional opportunities for us. And as I mentioned, we have some strong capabilities now in the oil and gas space that we believe will also help drive productivity as opposed to just looking at increased production levels and new wells. We think we have an opportunity to help customers reduce their operating costs, improve their competitiveness with the lower oil prices. That's very important, and it's something that they're very interested in as opposed to just expanding the production rates themselves. And so we think there are a couple of things in here that allow us to still be very focused. We've improved some of our go-to-market strategies in the industry with some project pursuit capabilities. And so we continue to add capabilities to our platforms. So I wouldn't say people are catching up with the multi-discipline control. And I would say we're continuing to remove any of the shortcomings against some of the pure DCS players with our modern DCS approach. So we have a lot of expectations for our ability to continue to grow in process.
Steven Eric Winoker - Sanford C. Bernstein & Co. LLC: Okay, guys. Thanks, see you next week.
Keith D. Nosbusch - Rockwell Automation, Inc.: I'm looking forward to it, Steve.
Theodore D. Crandall - Rockwell Automation, Inc.: Thanks, Steve.
Keith D. Nosbusch - Rockwell Automation, Inc.: Okay, that concludes our call today. Thank you for joining us, and I look forward to seeing all of you at Automation Fair next week in Chicago, and safe travels.